Operator: Ladies and gentlemen, thank you for standing by. Welcome to Gilat’s Fourth Quarter 2011 Results Conference Call. All participants are at present in listen-only mode. Following the management’s formal presentation, instructions will be given for the question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to turn the call over to Rob Fink of KCSA to read the Safe Harbor statement. Rob, please go ahead.
Rob Fink: Thank you. Good morning and good afternoon. Thank you for joining us today for Gilat’s fourth quarter and full-year 2011 results conference call. A recording of this call will be available beginning at approximately noon Eastern Time today, February 22 and will be available until February 24, 2012 at noon. Gilat’s earnings press release and the website provide details on accessing the archived call. Investors are urged to read the forward-looking statements in our earnings press release which states that statements made on the earnings call which are not historical facts may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All forward-looking statements including statements regarding future financial operating results involve risks, uncertainties, and contingencies, many of which are beyond the control of Gilat and which may cause actual results to differ materially from anticipated results. Gilat is under no obligation to update or alter forward-looking statements whether as a result of new information, future events, or otherwise and we expressly disclaim any obligation to do so. More detailed information about risk factors can be found in our reports filed with the Securities and Exchange Commission. With that said, I would now like to turn the call over to Gilat Management. Joining us on the call today are Erez Antebi, Gilat’s Chief Executive Officer; and Ari Krashin, Chief Financial Officer. Erez, the call is yours. Please go ahead.
Erez Antebi: Thank you, Rob. Good day, everyone. Thank you for joining me for this call, my first as CEO. Well the purpose of today’s call is to review our fourth quarter results and our overall performance in 2011. I would also like to take this opportunity to share with you a few thoughts and perspectives as I begin my role as CEO of Gilat and where I expect the company is heading in the long-term. First, I will begin today’s call with a snapshot of our fourth quarter and full year results, followed by an update on recent organizational changes and will then provide you with some more detailed review of our business during the quarter. Following my review, Ari will take you through the financial results in more detail. After this, I will summarize 2011 and share with you our objectives for the coming year and then we will open the floor for questions. The fourth quarter of 2011 was characterized by a very strong financial performance coupled with several important contract wins. Revenues for the fourth quarter were $93.6 million, compared with $83.9 million in the previous quarter and $66.1 million in the comparable quarter of 2010. For the full year 2011, we recorded revenues of $339.2 million compared to $233 million in 2010. On a GAAP basis, we recorded a net loss of $5.9 million for the year compared to a net income of $30.6 million in 2010. Our loss this year included a onetime not-cash impairment of goodwill related to the acquisition of Wavestream as well as other restructuring charges in the total amount of $19.5 million. Ari will discuss the impairment and the comparison to this 2010 results in more detail. On a non-GAAP basis our net income for the year 2011 was $15.9 million compared to a non-GAAP net income of $0.7 million in 2010. Our backlog reached $264.6 million at the end of 2011, up from $232.1 million at the end of 2010. In summary, the fourth quarter of 2011 as in previous years and on par with market seasonality has been a strong quarter for Gilat. We are stood by our management objectives set at the beginning of 2011 and I applaud Amiram and the team for their hard work this year. Before looking at our business this quarter, I would like to start by telling you about the organizational changes we began taking recently, as those changes impact the way we manage and look at our business going forward, specifically the division of Gilat into three separate business activities; Commercial, Defense and Services. The first Commercial Satcom includes broadband satellite network equipment and professional services for enterprises, consumers, and governments worldwide. This business also includes our consumer Ka-band initiative. The second, Defense Satcom provides satellite communication equipment for Defense and Homeland Security customers worldwide. And finally, our Services business including Spacenet providing managed network services for business, government and residential customers in North America as well as our service businesses in Columbia and Peru. As part of this organizational change, Raysat Antenna Systems has been fully integrated into Gilat taking advantage of synergies in such areas as R&D, managerial, and corporate support function. I believe the modified structure once fully implemented will allow us to be more efficient in how we conduct our business and attract customer buying. With that in mind, let me give you some highlights of our business activities in Q4. This past quarter we announced several key contract wins for our Commercial Satcom business. Most notably which we already mentioned in our previous quarterly results call is our strategic alliance with Rostelecom’s RTComm and Russian Government Institute NIIR for a Ka-band VSAT network in Russia. The Russian government has decided to make a significant investment in a constellation of three Ka-band multi-spot beam satellites designed to provide over two million Russian citizens with internet access. The implementation of this strategic agreement already began in Q4. We also announced our selection by JSC NC Kazsatnet, a Republic of Kazakhstan telecommunication company to deploy a SkyEdge II broadband satellite network to complement its fiber and IP networks. This win is an excellent demonstration of our end-to-end solution for fiber backup and IP connectivity linking 14 regional centers in the multi-star topology with our NetEdge gateway solution to the SkyEdge II hub located in Astana. The deployment will also include Wavestream’s 40 watt Ku-band solid state BUCs or Block Upconverters at each gateway which also demonstrates cross selling opportunities for our multiple products. Latin America continued to be strong market for us this quarter. Of note is our announcement that we will provide corporate connectivity for one of Latin America’s largest post offices. As part of this project, we will supply the country’s national operator with a fully managed network connectivity, sorry, fully managed networking connecting approximately 7,000 branch offices with our SkyEdge II solution. Finally, I would like to note that our Commercial Satcom business has reached an important milestone early in the quarter shipping its one million VSAT. For those of you who may recall, Gilat is an industry veteran when it comes to VSAT development with several technology first notches on our built. We developed and shipped our first generation two-way VSAT, the SkyStar Advantage in 1991, and have since been at the forefront of innovation and development of satellite-based communication technology. Moving to our Defense and Homeland Security activities, 2011 and the fourth quarter in particularly were characterized by the fruitful integration of Wavestream BUC and Raysat Antenna Systems product line into Gilat’s existing Defense related product portfolio. Leveraging the combined core competencies of the three entities, we were able to launch late in 2011 a satcom-on-the-move solution for airborne application featuring what we believe is the industry’s smallest and most light-weight antenna in its category. The solution is optimal for the Defense and Homeland Security markets as it addresses the critical need for reduced weight and size while increasing the date of report for unmanned aerial vehicles or UAVs. Finally, we look at our Services business. This quarter we also made strong enrolled in our Columbia operations with the award of a new contract to provide broadband internet connectivity to over 1,600 schools. This win joins the more recent announcement we made in January 2012 for the extension of our service agreements with the Columbian Ministry of Communication for an additional nine-month period until the end of September 2012. As for Spacenet and our North American operation, the acquisition of CICAT has allowed us to continue to demonstrate growth in our managed network services business with several key new customers joining Gilat. Of note is a five year engagement with Susser, Valero Energy Corporation’s largest distributor for a hybrid VSAT and 3G private network. Other wins include the addition of broadband managed services for Good Year, Cumberland Farms and Williams Sonoma. Spacenet also grew its government and industrial business with the procurement contract with the large federal agency utilizing Gilat’s SkyEdge II mesh technology. Spacenet also extended this satellite service offering with other key partners in the energy space such as Centerpoint Energy, (inaudible) and TanMar. That concludes our fourth quarter business overview. I would now like to turn the call over to Ari for a more detailed overview of the key financials for the quarter and the year.
Ari Krashin: Thank you, Erez. Good morning and good afternoon everyone. Our financial results are presented both on GAAP and non-GAAP basis. The GAAP financial results include the impact of non-cash stock option expenses as per ASC 718, formerly SFAS 123(R); expenses related to our M&A activities during 2010 and 2011; impairment of goodwill and restructuring costs, amortization of intangible assets resulting from the purchase price allocation; and certain onetime income. The reconciliation table in our press release highlights this data and our non-GAAP information is presented excluding these items. Now, let me share with you the financial highlights for the fourth quarter of 2011. Revenues for the fourth quarter of 2011 increased by 42% to $93.6 million compared to $66.1 million in the fourth quarter of 2010. The increase in revenues this quarter is attributable mainly to our strong international growth specifically in Latin America and Europe and due to increase of Wavestream and Raysat Antenna Systems product sales mainly in North America. Our gross margins for the fourth quarter increased to 36% compared to 35% for the same period of 2010. As we continued to mention every quarter, our gross margin is affected by the number of factors including the regions in which we operate and the type of deals we consummate. Each of these factors can result in variation in the gross margins. This quarter, as in previous quarter our equipment sales which typically carry higher margins were the main drivers for the level of gross margins which is in line with expectations. Our gross R&D expenses for the fourth quarter of 2011 were $9 million compared to $7.3 million in the same quarter of 2010. The increase in gross R&D relates mainly to the cost associated with the consolidation of Wavestream and the continuing business in the Ka-band products. Selling, marketing, general and administrative expenses for the fourth quarter of 2011 were $21 million compared to $18.5 million for the same period of 2010. The increase is primarily attributed to the higher level of travel expenses related to the growth in revenues and the consolidation of Wavestream. GAAP operating loss for the fourth quarter of 2011 was $15.2 million compared to an operating loss of $4.1 million for the same period of 2010. The GAAP operating loss this quarter was attributed mainly to the onetime non-cash impairment of goodwill in the amount of opportunities $17.9 million and restructuring cost and other charges relating to cost reduction effort in the amount of $1.6 million totaling $19.5 million. The continued pressure on DOD budgets in the U.S. which is reflected in the reduction in Wavestream revenues during 2011 compared to 2010 along with the uncertainties surrounding the future spending of DOD budgets led us to reevaluating the business level in our books resulting in impairment of the relevant goodwill in accordance with ASC 350, formerly SFAS 142. On a non-GAAP basis, operating income for the fourth quarter was approximately $6.6 million compared to $0.5 million for the same period of 2010. Other income in the amount of $1.9 million, mainly represent an additional portion of the settlement proceeds related to the amounted method transaction. Our GAAP net loss for the fourth quarter of 2011 was $11.5 million or a loss of $0.28 per diluted share compared to a net loss of $4.9 million or $0.12 per diluted share in the comparable quarter of 2010. On a GAAP basis – on a non-GAAP basis, net income for the quarter was $8.4 million or $0.20 per diluted share compared to a net loss of $0.3 million or $0.01 per diluted share in the comparable quarter of 2010. Now I would like to go over the few financial highlights for the fiscal year of 2011. Our revenues for this fiscal year of 2011 increased by 46% in which $339.2 million compared to $233 million for the same period in 2010. The revenues for 2011 includes approximately $59 million attributed to Wavestream. Excluding the revenues for Wavestream, revenues growth were approximately 22% compared to 2010. The growth in revenues was attributed to the strong international sales, increase in Raysat Antenna System revenues and the continued Spacenet rollout in connection with the wins in the gaining sector. Our gross margin for this fiscal year of 2011 increased to 36% compared to 34% for the same period of 2010. On a non-GAAP basis the gross margin reached 38% for 2011 compared to 35% for 2010. The increase in gross margin is attributed to the higher portion of equipment revenues. Our gross R&D for the fiscal year of 2011 was $35.1 million compared to $22.2 million for the same period in 2010. The increase is due to the consolidation of Wavestream and Raysat Antenna Systems. The increase is also in line with our budget in effort to develop new products for new markets especially for the Defense and Ka-band markets as we continue to position ourselves as one of the leading government segment equipment providers in the Ka-band market, we continue to shift some of our R&D efforts towards our Ka-band products. Selling, marketing, general and administrative expenses for the fiscal year of 2011 were $82.5 million compared to $63.2 million in the same period of 2010. The increase in expenses is mainly attributed to the consolidation of Wavestream and the higher level of variable expenses related to the growth in revenues. GAAP operating loss for the fiscal year of 2011 was $12.3 million compared to an operating loss of $6.2 million for the same period in 2010. On a non-GAAP basis, operating income was $17.5 million compared to $1.3 million for the same period in 2010. GAAP net loss for the fiscal year of 2011 was $5.9 million or $0.14 per diluted share compared to a net income of $30.6 million or $0.73 per diluted share in 2010. On a non-GAAP basis net income for the fiscal year 2011 was $15.9 million or $0.37 per diluted share compared to $0.7 million or $0.02 per diluted share for the same period of 2010. Geographic revenue distribution for 2011 were as follows; the U.S. accounted for $156.3 million or 46%, Latin America accounted for $100 million or 30%, Asia accounted for $51.6 million or 15%, Europe accounted for $21.1 million or 6% and Africa accounted for $9.7 million or 3%. Our total cash balances at the end of 2011 amounted to $63.9 million and during 2011 net cash provided by operating activities was approximately $8.6 million. Our shareholders’ equity at the end of the year totaled $260.1 million. This concludes the financial review. Before I hand over the call my last as CFO, I wanted to take this opportunity and thank you all for your support in the years I acted as CFO of Gilat. I look forward to my new role and know that I leave this post in Yaniv’s very capable hands. I would like to wish Erez, a new success as they lead the company for future growth. With that I would now like to turn the call back to Erez. Erez?
Erez Antebi: Thank you, Ari. Before we continue to our closing statements and your questions, I would like to thank Ari for his tremendous leadership as CFO over the past four years. I am glad you will be continuing to serve as the member of the executive team, dedicate his time to strategic aspects of the business. Yaniv Reinhold who has been working closely with Ari over the past four years in his capacity as a VP of Finance will be taking the CFO rank on March 1. I am confident that the two of them will continue to work well together. And now let’s move to the macro operating environment and how I see the markets. I believe the satellite communications market is facing changes that present long-term growth prospects in three main areas. One, Ka-band broadband services; two, satellite-on-the-move broadband services for Defense and Homeland security; and three, managed network services. I would like to elaborate on how I see each of these markets and Gilat’s position in them. In our Commercial Satcom business, we plan to continue to invest in product leadership in 2012 building a differentiated product line that best addresses as our customers’ needs and concerns. In our traditional VSAT business, we see growing demand for more than just technology products. Many of our customers are seeking end-to-end and complete integration solutions. We believe we are well positioned for these type of solutions, and will continue to provide them. As for Ka-band, we see this next generation satellite technology as driving significant future growth in the VSAT industry as it offers significantly higher satellite capacities and substantially lower cost of transmission. To give you some perspective, according to a NSR market research report, Ka-band broadband services are forecasted to grow from $1.1 billion in 2010 to $4.6 billion in 2020. In line with this, plans for the launch of dedicated Ka-band satellite are in mature stages. As a result, the demand for Ka-band ground infrastructure and CPEs is projected to grow in coming years and industry view we share and in support of which we are dedicating significant R&D resources. To address this and as part of our strategy, we created a dedicated group which will focus on Ka-band and consumer initiatives worldwide. As a reminder, Gilat has already established a strong position in the Ka-band market having secured significant Ka-band awards notably RTComm, SES Astra2Connect and the most recent announcement of our win with O3b. O3b plans to launch its first constellation of MEO, medium earth orbit satellite in mid 2013 with the goal of launching 90 such satellites over a period of 10 years. The proximity of these MEO satellites to the year contraries to the more traditional geo with a G-satellite being operated today will allow offering approximately 70% of the world’s population with affordable fiber quality internet connectivity. Our solution has been selected to support the tier-two services of the project and our relationship with O3b is a tremendous road of confidence in Gilat’s Ka-band technology positioning us as a strong contender in the Ka-band market today. We’re looking at the Defense and Homeland Security markets. We see the growing need of organizations for transmitting and receiving broadband data and video to their vehicles. These applications are to both stationary and on the move platforms on land, sea and air. This is primarily driven by three factors. One, the need for immediate communications in case of disaster, natural or other, when terrestrial infrastructure fails. Two, the requirements will operate in locations where terrestrial communication is lacking or non-existent. And three, the move to network centric warfare by the broader base of lower echelon in military and security forces. As this moves to lower echelons progresses, we believe this market will grow significantly in the coming years. I believe our differentiated product offerings with the focus on satcom-on-the-move application, positions us well in the defense market, specifically our Raysat Antenna Systems product line features field-proven, high performance, low profile tracking antennas. The Wavestream product offering includes a highly reliable compact, low-weight amplifiers and BUC and over modem technology is designed to work in demanding satcom-on-the-move environment. I believe that our technology and technological advantage in these product lines together with our ability to package some or all of these products into an integrated solution are significant advantages. Lastly, we’re looking at our service activities; Spacenet will continue to leverage the acquisition of CICAT. Spacenet is now well positioned as a technology agnostic managed services provider that design, implement, and manages private data communication networks for small to large enterprises and government customers across North America. We are well positioned in this market given Spacenet’s size, experience, and its ability to deliver a truly technology agnostic solution across satellite, DSL, cable and other wire-line and wireless technologies. Spacenet today manages over a 130,000 end-user sites and we expect that number to continue to grow as Spacenet further targets the managed VPN marketplace. In summary, the satellite communication industry has exciting markets where we see potential for growth. I believe that our capabilities and differentiated product offering give us an advantage in a market expected to grow long-term. I further believe that our new organizational structure is designed to support the anticipated long-term growth in each area. Having said that, the macroeconomic conditions in Europe and their possible effects on demand in other regions, together with anticipated cuts in the U.S. DOD budget in 2012 may pose challenges to the operating environment this year. Taking that into consideration, we have set our management financial objectives to deliver a slight increase over last year in our annual revenues of between $340 million to $350 million and while continuing to invest in future products, maintain our EBITDA margin levels at 10%. And with that I would like to now ask the operator to open the line for questions. Operator, please.
Operator: Thank you. Ladies and gentlemen at this time we will begin the question and answer session. (Operator Instructions) Please stand by while we poll for your questions. The first question is from Gunther Karger of the Discovery Group. Please go ahead.
Gunther Karger – Discovery Group: Yes, good morning and good afternoon. Actually excellent quarter, and excellent year and congratulations. Having said that, the company is definitely very much alive but the stock remains dead, no matter what great news and great progress of the company is making and definitely to me, seems to do well (inaudible) become aware of. Any commentary on how this is going to be improved?
Ari Krashin: Gunther hi, it’s Ari. Basically I mean the investor is the one that’s taking the stocks with another one to invest in big companies share. As management, we focus mostly on growing the business and increasing profitability, whether or not this method is being (inaudible) so it’s a very different issue but eventually we’re not focusing on the share price, we are focusing on the business.
Gunther Karger – Discovery Group: All right, yes, I have a follow-up, I understand that but it’s been quite a while of corporate recovery on the progress and at some point the equity needs to be following the corporate progress, and otherwise the interest gets lost the cycle keeps searching [ph] itself. That’s my final comment.
Ari Krashin: Gunther, we appreciate that we obviously understand that and taking that into consideration, as you know we are doing all the best we can in the IR perspective as well. Hopefully it will show in the future results as well.
Gunther Karger – Discovery Group: Thank you.
Operator: The next question is from Andrew Uerkwitz of Oppenheimer. Please go ahead.
Andrew Uerkwitz – Oppenheimer: Hi, guys, thanks. I may have missed it, because I came to call a little late, could you – on the guidance, first of all, will you give revenue cost of sales breakdown for the new three divisions and then if not, could you give us some color on how those three kind of mix in to the guidance, because the way – when I first looked at this, I thought like it seems like something is getting cut short this year on the growth side, I was just trying to kind of flush what that is?
Ari Krashin: Hi Andrew, it’s Ari again. First of all, the three divisions, we have not started working this way in 2011.
Andrew Uerkwitz – Oppenheimer: Okay.
Ari Krashin: This is basically the stages that we are doing right now and it will start to reflect in 2012. Therefore we are not also publishing any guidance in respect to three different divisions. Now so again I mean I would probably as Erez relates to the (inaudible) that we said for next year but we have few projects in obviously growth in some.
Andrew Uerkwitz – Oppenheimer: Yes, Erez so those are my, as far as I guess my question because if I remember correctly you said without Wavestream and Rayset you had, I think 20% growth. So I am curious if some of the defense stuff is still lagging behind or still declining in the kind of the legacy stocks is going to hold off well or if that’s also slowing down, you see where I am getting at?
Ari Krashin: Yes, let’s put it in decent way, I mean the way as Erez mentioned looking at what’s going on in the economic environment specifically in Europe and other regions this might be affected. We wanted to make sure that we can still grow the business, either it’s going to come from business or other areas of the company. Now just for an example as you remember, we published that we won an extension of Columbia and the school projects obviously we are seeing some growth coming from Latin America. In the international business we’re seeing some growth as well coming from the Ka and hopefully other markets as well. Now in regards to business, we’re still seeing growth, we’re seeing very high potential from new products and new markets that we can penetrate within defense, overall consolidated to more or less kind of the focus that we’re expecting right now, not the focus the objectives. I cannot – I would like the one specific area in which we think that there is going to be a decrease but it’s kind of a moderated increase on across the business unit as we see then going into 2012.
Andrew Uerkwitz – Oppenheimer: Perfect, I appreciate the commentary, good. I don’t want to say negative because you guys did a great job in 2011 to hit your targets despite the global macroeconomic concern. So I was a little surprised, but I am positive you guys will continue to execute on. So I appreciate. Thank you.
Ari Krashin: Thank you.
Operator: The next question is from James Breen of William Blair. Please go ahead.
James Breen – William Blair & Company: Yes, thank you. It looks like you’ve had some significant activity in Latin America over the course of 2011. I was wondering if you could help us think about how big those opportunities are, such as the Columbia schools contract was for $18.5 million, can you give us a sense of how long that contract is and then also the other two with the post office and the Columbian Ministry of Information Technology?
Erez Antebi: Yes, I’ll try and help you out but it seems that you know the numbers. The Columbia school project is over an 18 months period. If the extension, as we’ve said is for nine months period. We didn’t make public specific numbers or deal sizes for the other deals that we’ve done. But you’re right in your analysis that Latin America is the strong region for us. We see a lot of growth there in quite a few different countries. We’ve been seeing that not only in 2011. We’ve seen that in the years previous to that and I would expect that the Latin America will continue to be a strong market for us.
James Breen – William Blair & Company: Can you give us a sense of how much Latin America region grew as a whole in 2011 over 2010?
Ari Krashin: I think it’s all in all, it grew by few percent and not significantly growth. I believe that again it’s kind of offsetting the Columbian operation that we are seeing with other aspect of the business but all in all absent number, I don’t think that it was significant increase in revenues, probably a few millions.
James Breen – William Blair & Company: Thank you. And then in regards to the fourth quarter specifically, could you quantify the foreign exchange impact?
Ari Krashin: The foreign exchange impact is not significant for us. 90% of the revenues and I’m just picking a number 90% but the vast majority of our revenues are generated in U.S. dollars. So they are not affected by the currency exchange. On the expense side, as you know we tried to hedge upfront for the expense in Israel shekel versus the U.S. dollar. And more or less, it would be hedged throughout 2012, so budget is also built on the expectation from the hedging, the expense – the exchange fluctuation – the exchange rate fluctuation does not impact our results in the demographic way [ph].
James Breen – William Blair & Company: Great, thank you.
Ari Krashin: Thank you.
Operator: (Operator Instructions) Please stand by while we poll for more questions. There are no further questions at this time. Before I ask Mr. Antebi to go ahead with his closing statements, I would like to remind participants that a replay of this call is scheduled to begin two hours after the conference. In the U.S., please call 1-888-782-4291. In Israel please call, 03-925-5921. Internationally, please call, 972-392-55921. Additionally, a replay of this call will also be available on the company’s website, www.gilat.com. Mr. Antebi, would you like to go ahead with your concluding statement?
Erez Antebi: Thank you operator. I’d like to thank everyone for your time today. We appreciate your joining us on the call. I hope we were able to give you a good understanding of the results of Gilat, and also leave you with some insights as to how we see the market shaping up in the near and longer term. Good afternoon and good bye.
Operator: Thank you. This concludes Gilat’s fourth quarter 2011 results conference call. Thank you for your participation. You may go ahead and disconnect.